Operator: Good day, ladies and gentlemen, and welcome to the Douglas Dynamics Fourth Quarter 2018 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded.
 I would now like to introduce your host for today's conference, Chief Financial Officer, Sarah Lauber. You may begin. 
Sarah Lauber: Thank you. Welcome, everyone, and thank you for joining us on today's call. A few quick items before we begin.
 First, please note that some of the information that you will hear during this call will consist of forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Such statements express our expectations, anticipations, beliefs, estimates, intentions, plans and forecasts. Because these forward-looking statements involve risks and uncertainties, our actual results could differ materially from those in the forward-looking statements. For more information regarding such risks and uncertainties, please see the sections titled Risk Factors, Forward-Looking Statements and Management Discussion and Analysis of Financial Condition and Results of Operations included in our Form 10-K for the year ended December 31, 2017, filed with the Securities and Exchange Commission and the impending updates to these sections in our quarterly reports on Form 10-Q.
 Second, this call will involve a discussion of adjusted EBITDA, adjusted net income and adjusted earnings per share, all non-GAAP financial measures, which under SEC Regulation G, we're required to reconcile with the most directly comparable GAAP measure. Reconciliation of these measures to the closest GAAP financial measure is included in the earnings press release, which is available at douglasdynamics.com.
 Joining me on the call today is Bob McCormick, our President and Chief Executive Officer; and Jim Janik, our Executive Chairman, who will be available to answer questions.
 Bob will begin by providing an overview of our performance. Then I'll review our financial results and our 2019 outlook before turning it back to Bob. After that, we'll open the call for your questions. Bob? 
Robert McCormick: Thanks, Sarah. Good morning, everyone. Thank you for joining us. Due to the hard work of everyone at Douglas Dynamics, we produced robust annual results, including record net sales in 2018 of $524 million and adjusted diluted earnings per share of $2.04. This positive performance is based on broad and continued strong demand in both segments. While the chassis availability issues continue, we are pleased that how well our teams are navigating through the supply chain to meet our customers' expectations.
 We experienced below average snowfall across the country during the fourth quarter of 2018. As such, sales of our commercial snow and ice control equipment were negatively impacted by weather, but this was partially offset by increased demand for recently introduced non-truck-mounted equipment, such as plows or skid steers and ATVs. This is a nice growing market for us albeit at lower margins than our truck-mounted products.
 As a reminder, we benefited from strong performance in the first 3 quarters of 2018. Snowfall levels reverted to historical averages during the winter, ended March 2018 after 2 previous years of below-average snowfall across North America, which created stronger demand and robust preseason orders.
 Overall, 2018 was a solid year for our commercial snow and ice products. As we look into the first quarter 2019, we will have tougher comparisons based on the late heavy snowfall we experienced in the first quarter of 2018.
 Additionally, the other secondary demand drivers remain generally positive. In January, we completed our regular dealer field inventory, and the data indicated inventories were slightly elevated, which is in line with our expectations.
 Also, sales of select pickup trucks continued to be favorable, increasing 2% in 2018 when compared to full year 2017.
 During the fourth quarter, sales of our municipal products exceeded expectations, and margins improved based on continued strong demand, which helped in the year on a positive note. Chassis availability remains an issue, but we have seen the improved visibility and predictability in the delayed supply for most OEMs.
 While lead times continue to run 9 to 12 months, the improved predictability is helping our team plan ahead, and they did a fantastic job of adjusting and managing around the constraints in the fourth quarter. While exact timing is difficult to predict at this stage, we believe the long lead times for Class 8 chassis will continue in 2019 but begin returning towards normal levels during 2020.
 Assuming the improved predictability we are seeing continues in 2019, we are well positioned to drive improved margins for these products as our teams can plan ahead.
 The Work Truck Solutions segment generated a positive revenue increase this quarter based on stronger order patterns. I'm pleased to report that demand and backlog continued to grow.
 While chassis supply for Class 4 through 6 trucks is generally less constrained than it is for Class 7 and 8 trucks, it is unpredictable in both quantity and types of products, mainly due to the supply line issues and component shortages at all major OEMs.
 We expect this situation to continue in 2019 and start to improve in 2020. It is important to remember that as a key partner to the OEMs, Dejana is well placed to receive chassis as soon as they become available.
 The key factor to remember is that we're very encouraged by the robust demand, backlog and order trends, which we expect will continue to grow in the coming months. The bottom line is this: The industry-wide limitations do not impact the long-term growth prospects for the municipal products or the solutions business.
 I'd now like to turn to DDMS activities. We often highlight significant changes, but every customer issue is important to us, no matter how small. DDMS is used every day to solve a myriad of problems that have a cumulative effect of improving overall quality and customer satisfaction. In mid-2018, we received customer feedback regarding some of our commercial snow and ice products, which were experiencing premature corrosion of several small components prior to the package being opened. Logic would be most teams to assume that there was a water leak in the packaging, but not our team. Applying DDMS principles, we found the root cause of the problem was premature corrosion on 1 small component, which was being damaged during the manufacturing process on a microscopic level by the installation tool, virtually impossible to spot.
 Our team outlined possible solutions and set up several experiments to test their hypothesis. We were able to modify the installation tool and remove the root cause of the failure, resulting in improved quality, happier customers and even fewer warranty issues. And that is just 1 of 100 small examples I could give. With that complete, I'd like to turn to our cash usage priorities.
 To begin, we paid a dividend of $0.265 per share of our common stock at the end of December. In addition, yesterday, we announced that the dividend will increase to $0.2725 per share in the first quarter of 2019, which equates to a projected full year annual increase of $0.03. After thorough review, we believe the best use of our capital is to maintain and grow the dividend in a sustainable manner. Additional priorities continue to be paying down our debt, which Sarah will mention later, and strategic acquisitions.
 We are currently not focused our near-term acquisitions as we believe there is plenty of opportunity to drive revenue and earnings growth within our current operations.
 Finally, I want to reiterate 1 important point. Why it isn't fully evident in our financial results yet? Mainly due to external headwinds. We firmly believe the foundation of continuous improvement we are establishing through DDMS with our Henderson team and at Work Truck Solutions will pay off in the long run.
 Now I'll hand the call to Sarah to discuss our financial results and guidance. 
Sarah Lauber: Thanks, Bob. I'll review our full year consolidated earnings, provide more detail on the fourth quarter segment results, liquidity and the balance sheet. I will close with a look at our 2019 guidance.
 As Bob mentioned, due to the hard work of all the Douglas teams, 2018 was a robust year. Full year net sales were a record $524 million, a 10% increase over last year.
 Net sales increased due to the strong preseason order period for commercial snow and ice control products plus increased volumes in the Work Truck Solutions segment and price increases across all of our businesses.
 The sales increase was partially offset by chassis supply delays for our municipal products, which in turn, delayed our sales and has grown our backlog.
 Gross profit for 2018 of $154.9 million or 29.6% of net sales compared to $143.1 million or 30.1% of net sales.
 When viewing 2018 results, clearly material inflation was a large impact to all of our businesses. For the year, material inflation was offset by price increases within our businesses. However, in so doing, the gross profit as a percent of sales declined as I just mentioned.
 With all of the moving pieces around tariffs and steel and freight inflation, covering the headwinds for the year was a success. However, I'll speak to the fact shortly that the coverage is not always timed perfectly within the quarters.
 SG&A expenses for the year were $70 million and increased from $60.9 million recorded in the prior year. SG&A increased due in part to increased spending due to return to average snowfall, mainly variable compensation and advertising.
 On a GAAP basis, the change in full year net income and earnings per diluted share is magnified by last year's onetime benefit associated with U.S. tax reform, which totaled $22.5 million or $0.97 per diluted share.
 On an adjusted basis, full year adjusted net income of $47.4 million or $2.04 adjusted earnings per diluted share increased from $33.5 million or $1.45 in 2017.
 This significant increase is due to the sales strength I just discussed within all businesses, but the increase was partially offset by higher inflation, spending increases as we return to an average snow year and the ongoing impact of chassis supply constraints.
 Full year interest expense was $16.9 million, a decrease of $1.4 million as we were able to lower the debt balance resulting from a $30 million prepayment earlier in 2018.
 The effective tax rate for 2018 was 21.3% of pretax income compared to a benefit of 4.6% in 2017 due to the changes resulting from U.S. tax reform. The effective tax rate was lower than initially expected in 2018 and also favorably impacted adjusted earnings per share as a result of the 3 items recorded in the third quarter.
 Now I'd like to cover our fourth quarter results, which also displayed top line strength compared to last year. For the fourth quarter of 2018, we recorded net sales of $151.8 million, an approximate 10% increase compared to net sales of $138 million in the same period last year.
 Gross profit for the quarter was $44.1 million compared to $44.8 million in the corresponding period last year.
 As a percentage of net sales, gross profit was 29% compared to 32.5% in the same period of the prior year. As I mentioned on the annual results, material inflation was a significant factor affecting our gross profit as a percent of sales decline. In the fourth quarter, we experienced slightly higher material inflation versus price realized in the quarter, which drove a larger temporary margin impact.
 We continue to navigate through external factors associated with tariffs and inflation as we enter 2019. I expect that the temporary margin degradation from the fourth quarter will continue into the first quarter of 2019. However, we fully intend to cover material inflation over the longer term.
 SG&A expenses for the quarter were $16.7 million in line with $16.3 million recorded in the fourth quarter last year. We produced adjusted EBITDA of $28.8 million in the fourth quarter compared to $30.3 million for the same period last year. The approximate 5% decrease in adjusted EBITDA is mainly attributed to higher material inflation, as I discussed, but also coupled with an increase in discretionary spending as investments returned towards average levels. As a reminder, in 2017, investments were curtailed due to the low snowfall environment
 Turning to net income and earnings per share. On an adjusted basis, fourth quarter net income was $14.4 million or $0.62 per diluted share compared to $12.1 million or $0.53 per diluted share for the fourth quarter of 2017. The improvements are a result of all the dynamics discussed thus far plus the favorable change to our ongoing tax rate in 2018.
 Now I'll take a closer look at the segment results for the fourth quarter. Work Truck Attachments recorded revenue of $111.4 million and adjusted EBITDA of $25.3 million compared to revenue and adjusted EBITDA of $103.5 million and $29 million, respectively, in the same period last year.
 As we experienced lower-than-average snowfall in the fourth quarter, the increase in revenue mainly stems from higher sales of our municipal products and recently introduced new non-truck commercial snow and ice control products. The decrease in adjusted EBITDA was primarily caused by the material inflation dynamics I discussed, combined with an increase in discretionary spending, which returned towards average levels.
 The Work Truck Solutions segment reported revenue of $43.5 million and adjusted EBITDA of $5.3 million. In the same period last year, the segment's revenue and adjusted EBITDA were $41 million and $5.7 million, respectively. Revenue increased based on generally improved demand, while the slight decline in adjusted EBITDA was a by-product of inefficiencies caused by a tight and unpredictable supply chains, along with material inflation. As Bob mentioned, we continued to implement DDMS for both our municipal products and the solutions segment. As we have stated, margins have stabilized in these areas and have sequentially improved in the fourth quarter. Going forward, we expect continued margin improvements during 2019.
 Turning to the balance sheet and liquidity figures for full year 2018. Net cash provided in operating activities during 2018 was $58.2 million compared to $66.4 million in the prior year. The decrease was primarily driven by 2 main items. First, we made a $7 million voluntary contribution to our pension plan in order to take advantage of a higher tax deduction. Once this payment was completed, our pension plans were 96% funded, and we expect them to be fully funded by the end of 2019.
 Second, as we continued to actively manage through both tightening of supply chains and inflation, we have temporarily increased inventory levels to help ensure delivery times to our customers, and in some cases, opportunistically locking lower prices. Therefore, inventory was $82 million compared to $71.5 million at the end of 2017. As a result, total liquidity, which is comprised of $27.8 million in cash and $94.6 million in borrowing capacity under our revolver, was approximately $122.4 million at the end of 2018 compared to last year's liquidity of $136.4 million.
 As Bob also mentioned, we announced an increase to the dividend, the 11th consecutive increase in approximately 9 years. We prioritize our dividend as we look at capital allocation, and we also remain committed to reducing our debt.
 Net debt of $278.1 million at year-end is down from $310.8 million at the end of 2017, due to the $30 million prepayment we made early in 2018 to reduce our borrowings.
 Also, we are announcing today that based on our robust financial and cash flow performance in 2018, we made an additional $30 million payment on our debt in February of this year. Our net debt leverage ratio has declined from 3.3x last year to 2.8x at the end of this quarter.
 Capital expenditures for 2018 totaled $9.7 million, an increase of $2.1 million when compared to 2017 capital expenditures of $7.6 million.
 The major factor behind the increase was the expansion of our Kings Park facility for Dejana. This investment is already paying off as we've been able to in-source certain functions, which reduces cost and increases velocity over the long run.
 Lastly, accounts receivable at the end of the quarter were $81.5 million compared to $79.1 million last year, mostly due to higher sales this year compared to last.
 While 2018 presented our team with some external challenges, we are pleased about this past year's overall results and are very encouraged about the company's prospects for 2019 and beyond.
 As you saw in the release, we issued our initial 2019 guidance. We view our guidance at this time of the year to encompass most scenarios, except the tail ends in of the bell curve largely driven by the seasonality of snowfall.
 With that, we expect to deliver net sales between $510 million and $570 million, adjusted EBITDA in the range of $90 million to $115 million and adjusted earnings per share between $1.60 and $2.40.
 This guidance takes into account several key factors and assumptions. One, what we see as demand in the markets we serve, which is also supported by dealers sentiment and our backlog and order trends. Two, we assume ongoing stability of the overall economy. Three, we assume average snowfall. And lastly, we recognize a similar level of ongoing chassis supply issues that we expect to continue through 2019.
 On a more specific note, we expect our effective tax rate to return to the new normal range of 25% to 26%. We believe our 2019 guidance reflects the positive long-term outlook for the company. We are focused on the factors within our control, such as expanding margins in both of our segments during the year through internal execution of DDMS and efficiency gains. Although tampered with the backdrop of chassis supply concerns and material inflation as we enter the year, we are confident that our outlook for 2019 has us well positioned to drive meaningful long-term top and bottom line growth.
 With that said, I'll turn the call back over to Bob. 
Robert McCormick: Thanks, Sarah. In summary, we are pleased with our recent results and believe we are poised for continued success as we execute our strategy in 2019 and beyond. We want to thank our team around the U.S. and overseas for their ongoing dedication and tireless efforts on behalf of Douglas Dynamics and our brands.
 Even though supply headwinds will continue in 2019, we take comfort that when chassis constraints start to ease, we will emerge much stronger and more efficient with improving margins across all of our businesses. We are invigorated by the opportunities we see in 2019, and we'll do everything within our power to successfully address them. As the new CEO, I am excited about our long-term future and the amazing team of people I have around me.
 With that said, we would now like to open the call for questions. Operator? 
Operator: [Operator Instructions] And our first question comes from Tim Wojs with Baird. 
Timothy Wojs: Maybe I have a few questions, maybe just to start on the chassis availability. Is the main message that the predict -- I mean, basically, the predictability is going to allow you to kind of better manage the cost structure this year? So even though you're still seeing some volatility on the sales line, just your ability to plan production is a lot better than it was in 2018, and that's what gives you confidence that you can expand margins in both segments in 2019? 
Robert McCormick: That is exactly right. And when you look at the Class 8 chassis situation, Tim, we've had 9- to 12-month lead times for the better part of 12-plus months. And so at some point, that becomes more predictable and you're easier to manage and plan schedules around it along with your cost structures. And so that is certainly the case. I will point out that Jon Sievert, President of our Henderson Division, has assembled a talented team, I mean, not only all these guys are winning out in the marketplace but they really are building DDMS foundation fundamentals and are positioning Henderson for some nice long-term profitable growth. And that's -- part of that is just being able to plan more effectively. We did see some of that in the fourth quarter. Henderson had a very nice quarter. And as Sarah pointed out, we expect those margin gains to continue to show themselves during 2019. 
Timothy Wojs: Okay. Okay. And then, I know it's early, but at this point, as you think about the preseason, would you anticipate maybe kind of the normal kind of 55-45 split between Q2 and Q3 right now? I think, last year, it was much more weighted to Q2. And I just want to make sure we kind of have that set right on models. 
Robert McCormick: Yes. That's a great question. I would say, at this point, we can assume it goes back to more of the historical mix, but then some of that gets -- some of that shift ends up getting dictated by the cycle of new product launches, what the order book looks like for the new product launches and that sometimes shifts some of those things from Q2 into Q3. At this point in the cycle, I think the more 55-45 is a good place to be. 
Timothy Wojs: Okay. Okay. And then on pricing, is there any way to think about just how much pricing realization you saw in the quarter maybe as a percentage of the revenue growth in Q4? And I'm just trying to think of -- it sounds like price cost will maybe continue to be a little tough in the first quarter, but that's seasonally a weaker quarter for you. So -- by Q2, should we expect pricing realization to more than offset material inflation? 
Sarah Lauber: Yes. Tim, I guess, in thinking through pricing and the inflation that we saw in 2018, I think it was very clear that from a coverage perspective, for the full year, we covered it. You can see some of that in the top line for the year. As we then moved into the fourth quarter, there was a bit more of the material inflation than we saw in price. There was an impact. We expect that to go into 2019. I would expect Q2 to be improved than -- from that standpoint. But I think the clear message is, we will cover it. We are just working through some of the dynamics from a quarterly perspective. 
Timothy Wojs: Okay. Okay. And then the last one for me, just free cash flow conversions for '19. Any way to think about that? It sounds like inventory would normalize in 2019 versus '18, is that the primary swing factor? 
Sarah Lauber: Yes. I think when you're looking at free cash flow similar to this year in all of the aspects, I think from an inventory perspective, we've not yet predicted that, that will come down. I think we need to see more of the chassis freeing up for us to plan for that. 
Operator: And our next question comes from Steve Dyer with Craig-Hallum. 
Ryan Sigdahl: Ryan on for Steve. So as it relates to guidance, you're assuming an average snowfall level this winter, but it seems like you've had a meaningful uptick here in January and February, and now maybe we're trending potentially in line or even above that average trend line. But what are you seeing in your key markets specifically over the last 2 months here? 
James Janik: This is Jim Janik. Can you finish the last part of the question, your voice dropped off? 
Ryan Sigdahl: Yes, I was just curious what you're seeing from a snowfall accumulation in your key markets, specifically in January and February, because it seems like from what we're tracking that we're in line to even maybe above average at this point in the season? 
James Janik: Sure. Sure. To this point, I may dive a little deeper than you care for, but the location and the timing of the snowfall is very important for us. And this year has been kind of a bizarre year. In that, November where it typically doesn't snow much, we got a fair amount of snow throughout the country. December was a very, very poor snowfall month, which is quite unusual. January, the first half of January was very poor, and then the second half of January through February, we've seen very nice snowfall. It has been somewhat regional in nature. The Midwest has gotten their fair compliment of snow, which is terrific, but some of the more populated areas along the East Coast are still at a pretty significant snowfall deficit. And I think -- overall, I think, you're right, as we get through the year, if the snow continues to fall as it is, statistically, it'll probably be average, a little higher in some places, lower in some places. So I would say, average, but the impact of where it fell and the timing might negate a little bit of -- if you took average minus a tick that would probably be a pretty good approximation of what's going on. 
Sarah Lauber: I think, just to add just 1 point on that, when it comes to guidance and how we're looking at the year, when you look at the snowfall last year in 2018, we had a very strong Q1, just when the snow fell. So the expectation is that it is a difficult comp for us as we enter 2019. 
Ryan Sigdahl: Great. That's helpful color. And then as it relates to the elevated dealer inventory levels, can you elaborate maybe what's going on there and how you think that will impact orders in Q1? And then if you think that will normalize? Or if this current snowfall is going to help and how that works itself? 
Robert McCormick: Sure. Sure. And that's a good question. I'll just build on what Sarah just finished saying. We had very strong late-season snowfall last year and that would draw inventory levels down. When we have decent snowfall now compared to a more robust snowfall last year, not only does it make for us more difficult comps for the first quarter, but it also means that you had lower inventories from a dealer perspective as we neared the end of the season last year. So that's why we say they're slightly elevated right now, and that's in line with expectations that just makes sense. Now we know we still have plenty of winter left. Last year, if you recall, it snowed very nicely into March and April, and we take another dealer inventory at the end of February. And so we're not overly concerned about the impact of preseason orders at this point. And we just have to wait and see what the rest of the winter deals us. We'll have a better read on how we think it impacts the preseason order book in our first quarter call. 
Ryan Sigdahl: Last one for me, guys, and I'll hop back in the queue. Can you talk about the strength you're seeing in the non-truck attachment products? And then maybe what your expectations are there over the next few years with the product pipeline, et cetera? 
Robert McCormick: Sure. Yes, it's -- when you've got the kind of market share we have in our pickup-mounted snow and ice control product lines, finding substantial avenues for top line growth becomes a challenge, but the whole non-truck part of the market really has been growing over the past few years, ATVs, UTVs, things like that, and that we've had some nice product offerings over the last couple of cycles that have been very well received in the marketplace. So even though fourth quarter weather dealt us a little bit of a revenue blow in our core business, it was the strength of those non-truck product offerings that really helped to mitigate part of that. In terms of future growth rates, I'm not going to get overly specific because of competitive reasons, but we still see a nice growth runway there with those non-truck product lines, and even in some non-traditional channels as well. We are now making product for some OEMs and that sort of thing. And this is all brand-new business for us. There's nothing cannibalized anything that's in our core business. So we're feeling good about the core business' ability to generate some top line growth over the next couple of cycles. 
Operator: And our next question comes from Chris McGinnis with Sidoti & Company. 
Chris McGinnis: Just wanted to ask about a little bit on the solutions side. It sounds like maybe, one, you obviously could see better growth if you have better allotment, but would that be holding you back in terms of expanding that footprint until you have better visibility there? Or is it more about just getting the assets you have in place maybe at a higher utilization? Is that's the way to think about it? 
Robert McCormick: Yes. I think it's clearly higher utilization of existing footprint without a doubt. We are starting to see some of our DDMS activities gaining traction, which means we can improve productivity and throughput through the existing footprint. Quite honestly, when the chassis situation eases on that side and we see some of that backlog flowing back through the operation, there is not a need for any additional footprint whatsoever. We feel comfortable that with the productivity improvements we've made that we can handle the additional volume with the existing footprint. I don't see any of that footprint anytime soon. 
Operator: [Operator Instructions] Okay, ladies and gentlemen, that concludes our Q&A portion of today's call. I would now like to turn the call back over to Bob McCormick, President and CEO. 
Robert McCormick: Thank you for your interest in Douglas Dynamics. We look forward to seeing some of you next month at the NTEA Work Truck Show in Indianapolis. Have a great day. 
Operator: Ladies and gentlemen, thank you for attending today's conference. This does conclude the program, and you may all disconnect.  Everyone, have a great day.